Operator: Good morning and welcome to the Perella Weinberg Partners Third Quarter 2024 Earnings Conference Call. [Operator Instructions] Please be advised that today’s call is being recorded. And I will now turn the call over to Taylor Reinhardt, Head of Communications and Marketing. You may begin.
Taylor Reinhardt: Thank you, operator and welcome all. Joining me today are Andrew Bednar, Chief Executive Officer and Alex Gottschalk, Chief Financial Officer. Before we begin, I’d like to note that this call may contain forward-looking statements, including Perella Weinberg’s expectations of future financial and business performance and conditions and industry outlook. Forward-looking statements are inherently subject to risks, uncertainties, and assumptions that could cause actual results to differ materially from those discussed in the forward-looking statements and are not guarantees of future events or performance. Please refer to Perella Weinberg’s most recent SEC filings for a discussion of certain of these risks and uncertainties. The forward-looking statements are based on our current beliefs and expectations, and the firm undertakes no obligation to update any forward-looking statements. During the call, there will also be a discussion of some metrics, which are non-GAAP financial measures, which management believes are relevant in assessing the financial performance of the business. Perella Weinberg has reconciled these items to the most comparable GAAP measures in the press release files of today’s Form 8-K, which can be found on the company’s website. I will now turn the call over to Andrew Bednar to discuss our results.
Andrew Bednar: Thank you, Taylor, and good morning. We are pleased to report another quarterly record for the firm. In the third quarter, we reported revenues of $278 million, up 100% year-over-year. And our year-to-date revenues at $652 million are up 50% year-over-year and are the highest first 9-months in the firm’s history. And with our fourth quarter revenues tracking at a similar level to those seen in Q4 2023, we remain on pace to deliver strong results for the full-year 2024. Our results reported today reflect top-line growth across our businesses driven by an increase in larger fee events. This is an encouraging trend and reflects both our deliberate strategic positioning and business selection optimization, as well as a deepening of trusted relationships with both new and existing clients. Our team is firing on all cylinders, and the results speak for themselves. I could not be more proud of our teammates and what they have achieved. Our business momentum signals that we are in the early stages of a multi-year growth cycle in the transaction markets. Corporate activity, which supported our franchise through the down cycle, has accelerated. And while announced activity from sponsors continues to lag corporates, the desire to transact among sponsors is increasing. At the same time, restructuring and liability management support and the need for creative financing solutions remain in high demand. We are seeing these trends across industries and geographies and believe we have increasingly strong tailwinds at our back. Across the firm, we are investing in growth. Since our last call, we have added two partners with client coverage in consumer health, wellness, beauty, and personal care, and in transportation, leasing, and logistics. These investments in talent, plus others made in prior years, are investments in client relationships and are already yielding results. We have also continued to invest at the managing director level, bolstering that rank with two additional hires to deepen our client coverage and strengthen our internal partner pipeline. Our performance to-date in 2024 reflects an improving operating environment, but even more so represents the underlying strength of our client-focused franchise. We are successfully executing on our strategy to achieve scale, while simultaneously solidifying our position as a leader in providing independent advice, especially in larger and more complex situations. Simply put, we are achieving what we said we would, and we feel no constraint. Rather, we see an exceptional opportunity to drive long-term growth. We look forward to continuing to deliver superior results for our clients and increased returns for our shareholders. Alex, I will now turn the call over to you to review our financial results and capital management in more detail.
Alex Gottschalk: Thank you, Andrew. Our adjusted compensation ratio for the first nine months was 68% and continues to represent our estimate for our full-year accrual. Our adjusted non-compensation expense was $38 million for the third quarter and $116 million year-to-date. Adjusted non-compensation continues to trend approximately 10% above last year’s level, entirely in line with our expectations. Our adjusted tax rate was 29% for the first nine months, and we now anticipate that our tax rate for the full-year will be below 30%. At the end of the third quarter, we had 57 million shares, Class A common stock, and approximately 31 million partnership units outstanding. Compared to our share count at June 30, our public float increased 9%, while our total shares outstanding only increased 3%, resulting in part from divesting of stock-based compensation units and from partnership units electing to exchange into Class A common stock. We remain committed to managing our share count to mitigate dilution from stock-based compensation. Year-to-date, we have retired more than 12 million shares and share equivalents through a combination of repurchase, unit exchange for cash, and net settlement. We ended the quarter with $335 million in cash, cash equivalents, and short-term investments, and no debt. This morning, we declared a quarterly dividend of $0.07 per share. With that, operator, please open the line for questions.
Operator: [Operator Instructions] We’ll take our first question from Devin Ryan with Citizens JMP. Please go ahead.
Devin Ryan: Hi. Thanks. Good morning, Andrew and Alex. How are you?
Andrew Bednar: Yes. Good morning, Devin.
Alex Gottschalk: Good morning.
Devin Ryan: I just want to start on just kind of big picture on revenues. Obviously, it’s been a great start to 2024. We’re up 50% year-to-date against a backdrop of pretty modest growth in M&A, and that’s obviously pretty significantly outperforming other independent investment banks. So, I’d love to just dig in a little bit around what you would attribute the degree of outperformance to. And then, Andrew, you mentioned the business is hitting on all cylinders, but at the same time, we’re kind of in the early innings of a recovery. So, I’d just love to kind of maybe think about the growth algorithm from here and how you guys are feeling after what’s a great start to the year? Thanks.
Andrew Bednar: Yeah. Thanks, Devin. Look, we’re feeling good, and certainly the events of this week gives us even more optimism that we’re going to see continued increasing activity in the transaction markets that we’re in. So I think that’s shared by the industry broadly and was reflected in some of the price moves in our stocks, in our industry on Wednesday. We’re closing in on $3 trillion of announced M&A this year. It’s going to be up something like 20%. You are correct. We are up more than double that in our business. It continues to reflect our growth story, the fact that, we are a smaller scale and a faster-growing participant in our industry. As I’ve mentioned in prior calls, we are really well positioned with where the activity has been, which has largely been dominated by corporates rather than sponsors in this early part of the cycle. I do think that will change over time. We are a bit more weighted toward corporates, and we continue to benefit from that. We’ve also broadened out our suite of services. Often people call them products. We refer to them as services to our client base. By expanding the product and services set, we’re able to capture more of that wallet and deepen our relationships with clients. So, it’s not any one thing, Devin. It’s kind of everything. And right now, as I’ve mentioned, we’re firing on all cylinders. That doesn’t mean it’ll be a straight line up to the right. We all anticipate turbulence and volatility along the way. But the trends are right now very, very clear and very accommodative for future M&A activity for sure.
Devin Ryan: Great. Thanks, Andrew. And then just one on the contribution of the non-M&A businesses, maybe you can pick on restructuring and liability management. It seems like you guys have gained some nice market share there. That doesn’t always get reflected in the data that we can track easily. So, I’d love to just maybe get some perspective around how you would frame how much kind of those non-M&A businesses are contributing in the current environment, particularly restructuring and liability management. And if you could frame that relative to maybe other period and then just given how strong I think those businesses have been, your confidence or your thoughts around the ability to grow these non-M&A advice businesses from here. And can that happen in conjunction with a M&A recovery? Thanks.
Andrew Bednar: Yes, both businesses are growing. And so, both businesses are up. As you know, and I’ve mentioned on prior calls, we don’t operate the businesses as business lines and as product or service lines. We are a client-centric firm. And so, we think about clients. We think about coverage. And we think about geography but within industry coverage as a model for how we operate the business. So we don’t look at product or service line P&Ls. We look at clients and how we’re covering our clients. And as I said earlier, expanding the capabilities of the firm when you already have a strong existing client relationship does lead to more revenue opportunities, which we are seeing. And so, I am very, very pleased with the integrated approach that we have with our restructuring and liability management team, with our debt advisory team, with our shareholder analytics and engagement advisory team alongside our traditional M&A business. M&A is largely driving the increases that we’re seeing, but it’s very much in tandem with our other service lines and restructuring and liability management being a key one. We don’t make it easy. I know neither does the industry on segmenting that and providing exact detail. And I know the public data sources have trouble doing that. But, again, for us, we look at it as a client-centric model, not as a product or service line.
Devin Ryan: Okay, great. Thanks, Andrew. I will leave it there. Appreciate it.
Operator: And we will take our next question from Brendan O’Brien with Wolfe Research. Please go ahead.
Brendan O’Brien: Good morning. And thanks for taking my questions. To start, I want to touch on something you alluded to in response to Devin’s question, just on corporate. Corporate M&A has obviously been leading over the past couple of years, leading to some belief that you’re going to see greater acceleration in sponsor activity from here. However, given the expectation for an easier antitrust regime under the Trump administration, I was hoping you could help give us a sense as to how meaningful of an impact the tougher antitrust backdrop has been over the past few years and how meaningful of a tailwind that could be going forward?
Andrew Bednar: Sure. We’ve been in a pretty tough antitrust review environment. And I think it’s had two impacts. One is that you’ve seen some transactions be challenged and some terminated. Now, in the context of several thousand M&A transactions a year in the United States, there’s only been two dozen or so enforcement actions and probably under 20 transactions that have actually been terminated due to an antitrust challenge. And as you’re well aware, there have been a number of court cases actually that went in favor of the transaction participants against the FTC and the DOJ. So overall, that part of it has not been the story. To us, the storyline has been the chilling impact that the timeline to closing has created through a stronger muscle from the antitrust regulators. And so if you’re in the transaction markets as a participant trying to announce and then close a transaction, the longer timeline to close is a high, high-risk proposition because you don’t know exactly what you’re getting, if it’s going to take a year or more to get some of these transactions closed. And so the risk-reward equation has changed. And that’s really the big impact over the last 2 years. It’s put some transactions on the shelf that I do think will come back. And it’s, again, been costly in terms of timeline to get things signed and closed. And I do think that under a lighter-touch regulator will be an accelerant for the M&A business.
Brendan O’Brien: And for my follow-up, I just want to touch on recruiting. You’ve been running a bit below your recruiting target over the last couple of years. I understand part of that was a conscious choice to undergo the expense initiative last year, but I want to get a sense as to what you’re seeing in the recruiting environment today and how we should be thinking about partner growth from here?
Andrew Bednar: Yes, we’re running a little bit below trend. We said when we went out as a public company back in June of ‘21 that, we have our targets. It’ll be a little bit uneven, and we’re in an uneven period. We’re seeing a lot of candidates, and we’re seeing some very good opportunities. But I think partly that people are so busy at their current firms that it is taking longer to initiate and to vet and then finally to execute and then transition to a different firm. And so much like what’s happened in the M&A closing pipeline that I just alluded to earlier because of antitrust activity, we see a similar issue in the talent market where it’s just taking longer. But the candidates are out there. I think the proposition to move to a platform like ours is still compelling and I think offers an exciting opportunity for certain segments of the advisory population that’s out there, and that’s a very, very dynamic market. So it’s not a winner take all, get it established today type of business. The labor markets and the talent markets are constantly changing, and we see, new opportunities for talent acquisition coming up all the time. But we do. But we agree with you. I agree with you that we’re a little bit on the lighter side here in ‘24, but we’re picking that up and picking that pace up for ‘25.
Brendan O’Brien: Great. Thank you for taking my questions.
Andrew Bednar: Thanks.
Operator: Thank you. And we will take our next question from Aidan Hall with KBW.
Aidan Hall: Great. Thanks for taking my questions. Maybe just to start following-up there, you talked about broadening out suite of services and then also kind of the recruiting environment. Can you just touch on some of the areas or put a finer point on it of where you still see some of the biggest needs for Perella’s capabilities from kind of building out in white space, if you will? Like where are you really focused on if you kind of had to give a couple priority spots?
Andrew Bednar: Yes, I would say in the near to intermediate term, it’s all about expanding our client footprint. And so within our key industry groups, we just have an enormous amount of uncovered space. We have a fantastic brand thanks to all the hard work of the team in the last 18 years, and we just don’t have enough team members to get the brand out into more boardrooms and into more C-suites. So we’ve got a lot of uncovered areas still here in the United States as well as in Europe, our two key markets. And we’re going to continue to build out our team of client coverage. Bankers, I would say, it’s probably less so on the service line or product capabilities. There may be some additions there, but we’re very, very comfortable with how we’ve built out our capabilities, and now it’s just a matter of getting more client coverage bankers and expanding our client footprint.
Aidan Hall: Great. That’s helpful context. Maybe just kind of taking that into consideration with the comp ratio in your prepared remarks, talking about multi-year rebound and activity, obviously, the growth has been strong and above tiers to start the year, and recruiting has been below trend. How should we be thinking about the leverage in the system right now and maybe just the way to be framing growth for 2025 as it relates to the comp ratio?
Andrew Bednar: Yes. Look, we’re heading into the very back part of the year. We’ve said 68 is our best estimate today for the comp ratio accrual. That’s 2 points down from last year. It is below the peer group, and we are growing faster than the peer group as evidenced by today’s results and the year-to-date results in particular. When we went out as a public company in 2021, again, we said we’d be in the mid-60s. I think we’re not far off from the target. We’re getting closer to reassessing our comp ratio, but I think we don’t try to pinpoint that to a revenue number because, as I’ve said in prior calls, it is a multivariable equation. We’re solving for building a world-class business. We’re not solving for quarter-to-quarter, and in building world-class business, we’re going to take decisions on talent and investment. Partially, that investment is in new talent acquisition and people joining the firm in the near-term, but also, as I’ve mentioned on prior calls as well, we do have a longer ramp-up than we’ve seen historically, partly as a result of market environment that, hopefully, hopefully consistent with my comments earlier about acceleration and M&A, we’re hopeful that the ramp-up also declines from what we’ve experienced certainly in the last 2 years or so years. So, when we talk about investment, it’s not just the current-year talent acquisition. It’s also new partner promotion, and it’s prior talent that’s joined the platform that’s just taking a bit longer to get up to peak performance. As I’ve said also, Aiden, the employees and partners of this firm own a lot of stock. We are the largest group of shareholders, something over 40% now. We’re very aligned with our shareholders. We look very carefully at share count, very carefully at comp ratio, return of capital, all the things that you would want in good shareholder alignment we have. And comp ratio is very much on that list to think about what’s a balanced approach. And I think we have struck the right balance between the growth and investment we are making and what we deliver to shareholders.
Aidan Hall: Appreciate the color. Thanks for taking my questions.
Andrew Bednar: Thanks Aidan.
Operator: Thank you. Our next question comes from James Yaro with Goldman Sachs. Please go ahead.
James Yaro: Good morning. Just two quick ones on election-related impacts, I know you mentioned this a little bit earlier. Andrew, if we see a much steeper yield curve, I think some of which has already happened in the past few days, does this impact M&A activity at all? And then I think one of the key questions under the incoming administration is tariffs. Maybe you could just speak to what the potential impact of these could be on your business, if at all?
Andrew Bednar: Sure. Thanks James. I may be a little bit of a minority on this. I think sponsors will come back, but I do think it’s going to be a bit slower than maybe we would all hope. And I think the rate environment is probably going to be less accommodative than certainly what that part of our market was used to several years ago. So, the rate picture has certainly changed. We have gone from an increasing cycle to now a decreasing cycle. But my own view is that there are a lot of continued inflationary pressures. You are going to have a government that’s going to borrow more and spend more. And I think that’s going to make it very, very challenging to actually bring down base rates. And so I think it’s going to put some pressure on sponsors that are not going to get the tailwind of financing costs. And they are going to have to find value through just grinding through EBITDA expansion in order to drive valuation and drive exits. So, it’s not a terrible story. It’s just not as good of a backdrop, I think as I see in the corporate world, which I do think will still continue driving the M&A markets.
James Yaro: Okay. Thank you. That’s very helpful. Maybe just a near-term revenue question, I think you noted that the 4Q ‘24 revenues expect to be closer to the $213 million I think you put up in 4Q ‘23. I think that suggests revenue will be down sequentially. Maybe you could just speak to whether there was any sort of pull forward into this quarter, and separately whether perhaps there was uncertainty ahead of the election that is impacting the revenue sequentially.
Andrew Bednar: Yes, we all saw in the industry a little bit of a slowdown in just engagement and activity for a month or so, but not a tremendous lead-up to the election where there was a cessation completely of activity. So, I think it’s a minor speed bump on the election. And now, as I mentioned earlier, you have got very significant accelerants that we haven’t seen in some time, so it will more than make up for that brief slowdown. We did pull forward based on our accounting policies. Transactions that closed in the first two days of the fourth quarter were pulled forward to Q3. It was a little bit over $25 million, and so that has an impact on how we see the Q4 period. I feel very, very good about the overall strength of our year-end and strength going into ‘25, but we do think that the Q4 period is looking more like a Q4 2023. And as I have said earlier in comments, we are on a good trajectory overall with secular growth, but there will be some unevenness and choppiness along the way that doesn’t bother us. It’s sort of in the business we are in.
James Yaro: That’s very clear. Just a really quick one here, I think in the press release you noted that you have 57 million of Class A common stock and 31.2 million of partnership units. Should we read that to mean that you have 88.2 million of end-of-period share count, and that’s the starting point for the fourth quarter? Any other nuances that we should be thinking about around the share count going forward?
Andrew Bednar: Yes, that’s a good read. Actually, I will defer to Alex to address that question, James, directly.
Alex Gottschalk: Yes. Hi James. Yes, so that’s correct. The ending share count for the period was the 88.2 million.
James Yaro: That’s very clear. Thank you.
Operator: [Operator Instructions] This concludes the Q&A portion of today’s call. I would now like to turn the call back over to Andrew Bednar for any additional or closing remarks.
Andrew Bednar: Okay. Thank you, operator, and thank you everyone for joining us today. We appreciate the opportunity to speak with you and we look forward to executing further on our strategic plan with support from our clients and from you, our investors, and also with the intense focus of our entire team here at Perella Weinberg. We hope you all have a successful end to ‘24, wish you a wonderful holiday season, and we look forward to connecting again on our February call. Thank you.
Operator: This concludes the Perella Weinberg Partners third quarter 2024 earnings call and webcast. You may disconnect your line at this time and have a wonderful day.